Operator: Good day, and welcome to the Third Quarter 2012 Earnings Conference Call hosted by Larry Franklin. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Larry Franklin. Please go ahead, sir. 
Larry Franklin: Good morning. On the call with me today is Doug Shepard, our Executive Vice President and Chief Financial Officer; Robert Munden, Senior Vice President and General Counsel; and Jessica Huff, our Controller. Before I begin my remarks, Robert will make a few statements. 
Robert Munden: Thanks, Larry. Our call may include forward-looking statements. Examples may include statements about our strategies, adjustments to our cost structure, financial outlook and capital resources, competitive factors, business and industry expectations, litigation developments and regulatory changes, the economies of the U.S. and other markets we serve, and other statements that are not historical facts.
 Actual results may differ materially from those projected or implied in these statements because of various risks and uncertainties, including those described in our most recent Form 10-K, and other filings with the SEC and in the cautionary statement in today's earnings release.
 Our call may also include non-GAAP financial measures. Please refer to today's earnings release for the required reconciliations and other related disclosures. Our earnings release is available on the Investor Relations section of our website at harte-hanks.com.
 I'll now turn the call back over to Larry. 
Larry Franklin: Thanks, Robert. Before talking about the individual businesses, a couple of comments about company results. Revenue decreased 8%, operating income was down 21.7%, earnings per share was $0.15 compared to $0.19 in the third quarter of 2011, excluding just under $1 million of Direct Marketing restructuring charges. I'll add some details about each of the businesses and then I'll turn it over to Doug, who will give some additional detail.
 Look first at Shoppers. Shopper revenues of $54.8 million for the quarter was down 9.9%. OI for the quarter was $614,000. Looking at some of the revenue categories. Real estate was still down in the low-double digits, which was slightly better than the previous quarter. In broad services category, the decline was greater than the previous quarter, primarily driven by Educational Services, which continues to be the worst-performing sector of the services category and actually accounted for 29% of the Shopper revenue decline.
 Consumer spending was down for the quarter, mid-single digit, after showing a slight growth -- after showing slight growth in the previous 2 quarters. The Automotive sector was up for the third consecutive quarter. Communications declined slightly after 2 consecutive quarters of growth. The ROP revenue, the in-book revenue, declined slightly more than the distribution or insert business or the distribution products.
 Our PowerSites revenue was up 16.7%. As you know, this is the centerpiece of our web strategy. We continue to average over 6,500 PowerSites per week in Q3. And following the restructuring of the web unit that we talked about in Q2, our full attention has been focused on growing this PowerSite revenues and looking at ways to make it even more effective as we move into 2013.
 Turning to expense. Our cost expenses decreased $3.5 million. Postage rates were up 2.9% in Q3. Newsprint rates were up 1.4%, down from the previous quarters' increases. Labor expense was $1.8 million, down from the previous quarter.
 While there are some signs of slight improvement in the economies of California and Florida, we all know that these are difficult markets. Mike and team are aggressively working revenue at the most basic level and continue to drive cost out of the system. As we said in the press release, we expect to see the rate of revenue decline to reduce slightly from the fourth quarter -- or in the fourth quarter from the third, albeit the third quarter decline was much higher than we had expected on the last call. And we also said on the last call that we expected to see some very modest profit improvement in Q4 over Q4 '11, and we no longer expect to show a modest profit improvement.
 Let me go to Direct Marketing. And before we talk about the business, I'm going to bring you up to date on the Direct Marketing and restructuring. I could certainly be a lot more pleased with our performance, but I am pleased with the aggressive way that our new HDM leadership team is restructuring our Direct Marketing businesses in the last 45 days. The basic structure has been developed, announced and will be generally implemented as we enter 2013. Reminding again, we're aligning around 3 key areas. The first is customer strategy and engagement, which includes corporate marketing. Much of sales are vertically aligned go-to-market businesses and solutions.
 Second, customer solutions, which includes database, data services, our TMS, Technology Market Solutions, Trillium and then the overall product development group. Customer delivery includes our mail-related businesses, contact center and business process outsourcing, or BPO.
 Our alignment will be refined as we move ahead with our sales and go-to-market format. Within customer strategy and engagement, every single element of the sales process is being reviewed and strengthened, including brand, marketing, lead generation and qualification, sales, sales strategy, delivery and architecture. Within customer solutions, we are uniting our product development teams into 1 organization, which have previously been spread throughout the business.
 Within customer delivery, our teams are developing innovative new products and capabilities to meet the growing digital needs of our customers and in ways to continue delivering ROI to our clients.
 We are investing in research and marketing to finalize our sales and go-to-market framework. As we said on this call at the end of the second quarter, this structure will be a -- it'll be much simpler, provide quicker decision-making, roles and responsibilities more closely reflected how the customers buy and relationships develop, and accountability and responsibly more closely aligned. Our overarching goal is to drive profitable revenue growth and better meet the needs of the marketplace.
 We are driving for some quick results, and at the same time, we want to set our Direct Marketing business on a new path for the future. No stone is being left unturned. These really are exciting times in our Direct Marketing business, and we're confident about the future of where we're taking this business with our new team.
 Now back to performance. Direct Marketing, as indicated in the press release, had a difficult quarter with revenue down 7.7%. Operating income, down 8.7% or 4.5% excluding the restructuring charge. Doug will provide some more color on these declines. But before doing that, let me give you some color on some of the verticals. First, pharma, which was down 16%. We mentioned pharma headwinds in quarter 2 when a client with reduced volumes specifically related to results from a program, and we said that we believe that that would rebound and it did. But we also said that we would continue to face headwinds in pharma due to industry uncertainty and the uncertainty that we had because of our positioning.
 Over the years in pharma, we have done a great job at our agency servicing our clients in the CRM digital space. At our largest pharma client, we had done some great there for many years in one of their therapeutic brands or categories, which was diabetes, and we were well-respected at the company.
 Over a year ago, we learned that they would be exploring, consolidating all agency work across disciplines for each therapeutic category, which would include ACP brand agencies, consumer agencies, CRM digital and medical education. Other than the CRM digital, we did not have those other types of agencies within Harte-Hanks. All agency business for the category we worked in was then consolidated with one of the large agency-holding companies. And our work was affected and moved in the third quarter of this year. 
 At the same time, over 18 -- over the last 18 months, we have been doing considerable research in the marketplace and evaluated what was working and what was not working in the pharmaceutical healthcare industry. We also looked at a build-versus-buy scenarios, and we decided to build. What we have built is essentially ACP brand capabilities, combined with our best-in-class CRM and digital expertise. Over the last year, we've invested significantly to build this unique business model. We brought in new talent with strong backgrounds from the ACP brand side across multiple disciplines, including strategy, creative and medical. Plus, we have strong leadership in place that has deep understanding and also know-how to launch this agency successfully.
 We built a new business model that we believe is at the right time for the evolving needs of the market, namely: As healthcare companies embrace a customer-focused marketplace, their brands must evolve so they are relevant to the customers. Brand marketers today seek an agency partner that understands how to prepare a brand for broad market and 1-to-1 promotion. TRUE Health + Wellness, the name of our new agency, brings together the value of brand with these tenets of Direct Marketing during the brand development process. With the targeted business development strategy, we expect brand managers who are looking for greater promotional effectiveness to adopt our new agency. 
 I hope you saw the announcement of the launch of TRUE Health + Wellness on October 1. We're very excited about TRUE and have confidence in the talented team that are leading that launch. We are less than a month into it and fully aware of the challenges, and we look forward to keeping you informed of our progress.
 The next vertical, high tech, which was down 12%. The decline in high-tech vertical is similar to what we discussed in the second quarter. Our high tech clients tend to operate on a global basis and the economic problems in Europe are causing these businesses to reduce their marketing spend by delaying programs and cutting back initiatives.
 We've experienced some significant volume reductions from a contact center client who consolidated vendors on the global basis. And we mentioned those in quarter 2. Since the second quarter, one of our stronger brand names in the high tech vertical is struggling and they've reduced their overall marketing spend as they restructure. I want to emphasize that our relationship with that client is very strong.
 We have another large client who reduced their marketing spend in the third quarter by mailing redesigned pieces at a lower cost for the client and reducing their volumes. Our Financial vertical increased 5% in the third quarter on the strength of increased credit card solicitation and a Trillium FATCA solution sale to a retail bank, as mentioned in the selected highlights.
 Trillium is beginning to get traction with the Financial solution and there is good interest in the recently announced insurance solution. Trillium was again positioned in the Leader's Quadrant of the Gartner Magic Quadrant for data quality tools in their 2012 research report, and this was the ninth straight year.
 Trillium is uniquely qualified to help companies meet the challenges that we're all hearing about today of big data, dealing with big data. The most common of those challenges is that a lot of the data are unstructured. It appears in free format as text fields. There is so much data, many organizations are trying to call down the data to better understand what is truly important data and what is not. And another component of the big data challenge is the realtime nature of the data such as social media. 
 Trillium customers are utilizing our solutions in this big data environment. For example, one of our retail clients is utilizing Trillium software in realtime to better understand buyer mood and satisfaction with product purchases by analyzing customer components -- or customer comments in the social media. The client is connecting positive and negative comments with recent purchases on social media streams in order to better react to the client needs. So they are, again, demonstrating the capability that was really built into the initial development and architecture of Trillium and the continued evolution of that product. 
 As we said in the press release, we now expect fourth quarter revenue declines to be slightly less than the third quarter, and we expect the OI decline to be less than the revenue decline. The primary contributors to the reduced expectations for quarter 4 are the declines in the high tech vertical, which I previously mentioned, also in our TMS solutions, which are obviously Technology Market Solutions, and also our international, which also has a large component of technology revenue, but its total revenue streams is also affected reflecting the difficult environments in Europe. 
 I'll turn it over to Doug, and then we'll take your questions. 
Douglas Shepard: Thank you, Larry, and good morning. Here's a company-wide overview of the third quarter. Consolidated revenues decreased 8% for the quarter, Direct Marketing decreased 7.2% and Shoppers decreased 9.9% for the quarter. Consolidated operating income decreased 21.7% for the quarter. Excluding restructuring charges, Direct Marketing declined 4.5%, while Shoppers increased -- sorry, Shoppers decreased $2.5 million. Consolidated operating income margin was 8.3% below last year's third quarter of 9.7%. For the quarter, our free cash flow was $11.3 million versus $12.8 million in 2011.
 Year-to-date, our free cash flow was $32.3 million versus $31.2 million through the first 9 months of last year. We spent $2.9 million on capital expenditures this past quarter compared to $5 million in the third quarter of 2011.
 Turning to our businesses. First, with Direct Marketing. In the quarter, Direct Marketing revenue decreased 7.2%, and operating income, excluding restructuring charges, decreased 4.5%. Excluding charges, operating income margins increased to 13.9% compared to a margin of 13.5% in the 2011 third quarter. Direct Marketing results continue to reflect the impact of J.C. Penney changing its direct marketing strategy from direct mail to broadcast, with a reduction in mail services contributing about 1/3 of the total decline.
 Our financial vertical increased 5% compared to the prior year quarter. Our pharma vertical decreased 16%, high tech experienced a 12% revenue decline, our select vertical declined 9%, and our retail vertical declined 4%. In the quarter, our retail vertical market represented 28% of Direct Marketing revenue, high tech was 23%, select markets were 25%, healthcare was 9% and financial was 15%. Our top 25 Direct Marketing customers represented 44% of Direct Marketing revenue for the quarter.
 Now turning to Shoppers. Shoppers' third quarter revenue decreased 9.9% and operating income decreased $2.5 million. ROP or book revenues continue to decrease more than distribution revenues, and California performed slightly better than Florida. Postage rates increased about 3% for the quarter and newsprint rates increased about 1.5% during the quarter. Our third quarter effective tax rate was 39.4%, which is slightly below last year's third quarter rate. For 2012, we still expect our effective tax rate, excluding last quarter's impairment charges, to be approximately 39% to 40%.
 On the balance sheet, net accounts receivables were $140 million versus $156 million at year-end. Our total debt balance has been reduced from year-end by $66 million to $113 million compared to $175 million at the end of 2011. Our net debt balance at the end of the quarter was $78 million versus $93 million at 12/31/11, a reduction of $15 million. We currently have all $70 million available under our revolver, excluding outstanding letters of credit in addition to a cash balance of approximately $36 million at the end of the quarter. 
 We have a strong balance sheet with low debt leverage ratio and plenty of liquidity. We initiated a stock repurchase program of $10 million in August. And during the quarter, we purchased approximately 290,000 shares at an average cost of $7 per share. We will update you on the fourth quarter repurchase activities during the year-end call in late January.
 With that, operator, we will turn the call over for questions. 
Operator: [Operator Instructions] We'll take our first question from Michael Kupinski with Noble Financial. 
Michael Kupinski: While you're a little weaker in Direct Marketing revenues, you were able to significantly beat my margin estimate, especially even if you back out that charge. Can you give us some thought about the margins going forward? And especially, Larry, your comment about that you think that even though you're expecting a revenue decline that you think that expenses are going to decline further. Where are you seeing -- what are the opportunities to cut cost further? And do you think that the margins in the fourth quarter in Direct Marketing obviously are going to be better than the fourth quarter of last year? And how you look at margins going forward in 2013 in Direct Marketing? 
Larry Franklin: Well, the margins in the Q4 compared to Q3, as we said back in the second quarter, we think that the margin will be down less than revenue. It's difficult to answer your question with any real specifics, given all of the changes that are taking place in the company at the moment as we realign people, processes, et cetera, because there has been a significant change in the way our organization looks today from -- well, there've been significant changes put in place to get us to where we want to be. We believe that in certain areas where we take a harder look at where -- how we're going to market, what we're selling, et cetera, that there is an opportunity to provide more value, get a little higher value proposition to the client. It's going to be a work in process for the next 2 to 3 quarters, but we do believe there is room over time, particularly over time, to move our Direct Marketing margins up from these levels. But it's not going to be a straight line. 
Michael Kupinski: And where do you think is -- are we expected to see some more charges in the fourth quarter related to personnel and so forth? Or is that the restructuring charge in the third quarter largely complete that? 
Larry Franklin: If -- there could be some more, but it would not be at the level of even the less than $1 million, or we don't think it'd be at the level even close to $1 million in the third quarter. Ain't that right, Doug? 
Douglas Shepard: Yes. 
Michael Kupinski: And then the Shoppers business, the margins obviously were deteriorated, of course, the revenues were a lot lower than expected. Were there -- are there further opportunities to cut cost there? Can you just give us some thoughts about margin outlook as we go into the fourth quarter? 
Larry Franklin: Well, as you know, that group has taken a lot of cost out of that business. And there was actually -- there were actually additional cost taken out in the third quarter, not to the extent that we talked about add-backs or anything like that. But again, we will see the impact of the changes that have been made over the last 3 quarters going into quarter 4. But we don't think they're going to be enough to make the profit grow over last year in the third quarter, which we thought we might be able to do when we had to call in the third quarter. But, yes, there are opportunities. But obviously, the further down that path you go, there are fewer of those. But we're -- and Mike and his team, they're constantly looking at ways to do things more efficiently and effectively, and also how to utilize the locations that we have and those sorts of venture. Everything's on the table. 
Operator: We'll take our next question from Dan Salmon with BMO Capital Markets. 
Daniel Salmon: Two questions. First, could you give us a little update on your dividend policy outlook, how you expect to see that progress as you work through some challenges with the business? And then a question for Larry. Harte-Hanks has a long history, and if we go back, this is a company that has taken itself private in past and re-IPOed. You have very high inside ownership today, a clean balance sheet, and I think we're all staring at pretty historically low borrowing rates. Have you and the board discussed at all the idea of bringing back an old strategy and potentially taking the company private? 
Larry Franklin: First, on the dividend, if you look back at our history, we have consistently paid dividends. Now, we didn't increase it for a couple of years... 
Douglas Shepard: The financial crisis in '08, '09. 
Larry Franklin: ... And the financial crisis. So the dividend certainly is something that we're committed to be able to do. Because we've got a lot of financial flexibility, as Doug pointed out. 
Douglas Shepard: We've paid for 69, 70 straight quarters, something like that. We still generated a lot of cash flow. There's no need, no [indiscernible] rise, it's a strong amount right now, it's about $20 million a year or $19 million a year and expenditures. We have always -- we had a long history of supporting our shareholders, and we'll continue to have that. 
Larry Franklin: And on the other question you asked, obviously, we can't comment on what we're looking at it or not looking at it as it relates to those -- to that question. But you're right in that there's a reasonably large insider shareholder base. And we are 100% focused at the moment, and I believe firmly that we're on the right track. But I also know that there's a lot of work between here and execution of where we are or where we're going. But our current focus is, again, 100% focused on implementing the strategy, the restructuring, the transformation of the business because we have some really, really valuable assets in this company. We have some good leadership, and that's where we're going to spend our time and work. 
Operator: [Operator Instructions] Our next question comes from Adam Peck with Heartland. 
Adam Peck: Is it possible that Shoppers could now be in the black for the fourth quarter with the restructuring cost? 
Larry Franklin: We don't believe so. Could not be in the black? 
Adam Peck: No, that they could be. 
Larry Franklin: Oh, in the black, yes. I want to be sure that the comment was we had been saying that they would be -- that profit would improve from last year's fourth quarter. And all we're saying now is that we don't see profit improvement, but we still believe... 
Douglas Shepard: We still expect profitability. 
Larry Franklin: We do expect profitability. 
Adam Peck: Okay. And with the changes going on at J.C. Penney and then kind of doing some small reversals, do you have higher expectations for that business going forward than you did, say, 4 weeks ago? 
Larry Franklin: In -- what was it? 
Douglas Shepard: J.C. Penney 
Larry Franklin: Oh, J.C. Penney. 
Douglas Shepard: And what are the changes again? 
Larry Franklin: Yes, they are adding back some -- they continue to add back some volume, certainly from where they were in January, this 2012. But also, over the last few months, they've been adding back some volume. It'll still be obviously substantially down. And remember that we still had J.C. Penney at their historical run rate, I believe, in Q4 of last year, but we don't cycle that until Q1 of next year. But the decline, I believe this is right, Doug. In Q4, in absolute dollars, would be the lowest absolute dollar decline? 
Douglas Shepard: Of the 4 quarters. 
Larry Franklin: Of the 4 quarters based on what we know today. They are adding back some volumes. 
Adam Peck: And then, we certainly appreciate you stepping up to the plate and buying stock this past August. Stock is materially lower than it was when you last purchased it unfortunately. Are you more opportunistic today than when you last bought stock? 
Larry Franklin: Yes. 
Operator: It appears there are no questions at this time. I would like to turn the conference back to our speakers for any additional closing remarks. 
Larry Franklin: Okay. We appreciate your support and your questions, and look forward to reporting in the fourth quarter. Thanks. Have a great day. 
Operator: That concludes today's conference. Thank you for your participation.